Operator: Good day, ladies and gentlemen and welcome to the Second Quarter 2015 Arch Capital Group Earnings Conference Call. My name is Krystal and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer towards the end of this conference. [Operator Instructions]. Before the company gets started with its update, management wants to first remind everyone that certain statement in today’s press release and discussed on this call may constitute forward-looking statements under the Federal Securities Laws. These statements are based upon management’s current assessment and assumptions and are subject to a number of risks and uncertainties. Consequently, actual results may differ materially from those expressed or implied. For more information on the risks and other factors that may affect future performance, investors should review periodic reports that are filed by the company with the SEC from time to time. Additionally, certain statements contained in the call that are not based on historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The company intends the forward-looking statement in the call to be subject to the Safe Harbor created thereby. Management also will make reference to some non-GAAP measures of financial performance. The reconciliation to GAAP and definition of operating income can be found in the company’s current report on Form 8-K furnished to the SEC yesterday, which contains the company’s earnings press release and is available on the company’s website. I would now like to turn the call over to the host for today Dinos Iordanou and Mark Lyons. Please proceed. 
Dinos Iordanou : Thank you, Krystal. Good morning everyone and thank you for joining us today. Our second quarter earnings were driven by solid reporter underwriting results while investment returns were impact by the recent rise in interest rates. On a group-wise basis our gross written premium declined by 8% in the quarter while our net written premium decreased by 10.5% as underwriting actions and rate decreases in our insurance and reinsurance businesses offset growth in our mortgage business. Changes in foreign exchange rates also reduced our net written premium on a U.S. dollar basis by 22 million or approximately 2.4% of our volume in the quarter. On an operating basis we earned $146 million, or $1.16 per share for the second quarter which produced an annualized return on equity of 9.9% for the 2015 second quarter versus 11.2 returned in the second quarter of 2014. On a net income basis Arch earned $0.88 per share this quarter which was lower than operating income primarily due to foreign exchange and realized investment losses. On a trailing 12-months basis net income produced a 10% return on equity. Net income movements on a quarterly basis can be more volatile as these earnings are influenced by changes in foreign exchange rates and gains and losses in our investment portfolio. Our reported underwriting results remained solid as reflected in our combined ratio of 87.9 and were aided by a low level of catastrophe losses and continue favorable loss reserve development. Net investment income per share for the quarter was $0.53 per share down $0.02 sequentially from the first quarter 2014 due to the short-term effects of share repurchases on investible assets during the quarter. Our operating cash flow was 232 million in the second quarter as compared to $254 million in the same period last year primarily reflecting reduced net premium writings over the past six months. Our book value per common share at June 30, 2015 was 47.49 per share a slightly decrease from March 31, 2015 and an increase of 8.6% from the 43.73 per share at June 30, 2014. With respect to capital management, we continue to have capital in excess over target levels and in the second quarter we repurchased 3.2 million shares for an aggregate purchase price of 199 million. I would like to take this opportunity to review our philosophy on capital management. As always our preference is to deploy capital in our businesses, however if business conditions don't allow us to earn our target returns we’ll look to return excess capital to our shareholders either through share repurchases or special dividends. Generally, we prefer share repurchases which benefit shareholders over the long-term by increasing earnings per share. However when our shares trade at a premium to book as they have for some time now we've to be prudent in those decisions. You've seen the grid [ph] on our Web site but the essence of this chart is that when we repurchase our shares at a premium to book value our objective is to earn back that premium for our shareholders over a reasonable period based on the expected returns that can achieve on equity. Now whether we can earn that premium back or not is dependent on how quickly the company generates earnings. One can have a different point of view on this, but in the current environment we’re seeing that after three years our crystal ball become very foggy. Current competitive conditions made profitable growth in our traditional lines of insurance and reinsurance difficult to achieve and not surprisingly the industry is experiencing an elevated level of M&A activity. In anticipation of your questions I would like to take a moment to reiterate our thinking with respect to acquisitions. We like to investigate opportunities presented by the marketplace, but our preference is to invest first in the recruitment of people and teams with specialty expertise that will complement our product platform. Our second choice would be renewal rights transactions, and last our acquisitions of business units. We consider acquisitions of business to be the most difficult because by their nature they involve greater uncertainty. The criteria that we use in evaluating potential acquisitions have not changed. First and foremost the business should be complementary to our long-term strategic goals. Second, there needs to be a cultural feet as management have similar DNA to Arch, that’s very critical and very important to us. And third is the balance sheet transparent and we can get our arms around it. When all those three conditions are met then we look at price last. As respect to price similar to our approach on share repurchases we considering amongst other things their length of time and relative certainty it will take to recover any premium to book value paid. With respect to overall market conditions it is starting to feel like the late 1990s where reinsurance is available at attractive prices and where favorable terms to the buyer are easily obtained. We've not yet seen significant erosion in the insurance business with the exception of certain lines which I'll discuss in a moment. We believe however that the ability to buy reinsurance on favorable terms will eventually lead to more competitive contingence across the insurance business. As I indicated there are several areas in the insurance sectors that are experiencing increasingly severe price competition. They are E&S and large global property markets, professional liability lines including D&O especially in foreign markets as well as marine aviation and energy. These business lines -- in all these business lines we've significantly reduced our exposure. At Arch, underwriting discipline has always been the foundation of our success and it will to be the number one priority and focus of our management team. Over our history we have build underwriting systems and controls which allow us to monitor not only changes in premium rates but also changes in terms and conditions. We believe that our culture and systems in combination should allow us to better navigate phases of the property casualty cycle. Turning back to our quarterly results. The insurance segment, gross and net written premiums on a constant dollar basis fell 11.1% and 10.7% in the quarter, compared to over the same quarter in 2014 partially due to the timing of certain renewal businesses obtained in a renewal write transaction in our alternative markets business that we have discussed in previous calls. In addition volume was affected by underwriting actions in our international and program units, Mark will comment further on premium volume in a few minutes. In our reinsurance segment softening pricing and continue pressures on terms and conditions led us to reduce on a constant dollar basis net written premium by 8.3%. In addition purchases on retro protection reduced net premiums volume in the quarter. Our mortgage segment included primary mortgage insurance written through Arch M.I. in the U.S. reinsurance treaties covering mortgage risk written globally as well as other risk sharing transactions. Gross written premium in the mortgage segment was $68.6 million in the second quarter of 2015 or nearly 24% higher than in the same quarter of 2014. Net written premiums grew 22% over the same period to $61.7 million. Our U.S. mortgage insurance operations acquired in late 2014 produced approximately half of the segments net written premium in the second quarter with 24 million of net premium written in the credit union channel where the bank channel produced 7 million in premium written for the quarter. We continue to make good progress in the expansion of the bank channel and have approved more than 748 master policy applications from banks and more than 264 of these banks have already submitted loans for our approval. Of these master policies 40 represent national accounts and the balance of regional banks. We also continue to see opportunities in GSC risk sharing transactions which produced 3.7 million of other underwriting income for the 2015 second quarter versus 1.2 million in the same quarter of 2014. No premium was reported for these transactions as current accounting treatment requires us to continue to use derivative accounting. We fully expect that future transactions involving Fannie Mae and Freddie Mac will receive insurance accounting treatment. Although competitive pricing conditions have intensified a bit Arch’s strong balance sheet, diversified mix of business and our willingness to exercise underwriting discipline should allow us to continue to generate acceptable returns. Group wide on an expected basis, we believe the present value ROE on the business we wrote this year for six months will produce and underwriting year return on equity in the range of 10% to 12%. Now before I turn it over to Mark, I would like to discuss our CAT PMLs. As usual I would like to point out that our CAT PML aggregates reflect business bound through July 1st, while the premium numbers included in our financial statements are through June 30th and that the PMLs are reflected net of reinsurance purchases and retrocession. As of July 1st, 2015 our largest 250 year single event PML was essentially flat and is in the Northeast at 541 million or approximately 9% of common shareholder's equity. Gulf of Mexico PML increased slightly to $522 million at July 1st and our Florida Tri-County PML stands at 445 million, a slight increase. I will now turn it over to Mark to comment further on our financial results and when Mark concludes his prepared remarks, we will come back and take your questions. Mark?
Mark Lyons: Thank you, Dinos and good morning to all. As was true on last quarter's call, my comments that follow today are on a pure Arch basis which excludes the other segment that being Watford Re unless otherwise noted. As in previous call, I will be using the terms core to denote results without Watford Re and just on consolidated when discussing results including Watford Re. Okay, now with that said, the core combined ratio for this quarter was 87.9% with 1.9 points of current accident-year CAT-related events, net of reinsurance and reinstatement premiums compared to the 2014 second quarter combined ratio of 86.2% which reflected 1.8 points of CAT-related events. Losses recorded in the second quarter from these CAT events, net of recoverable and reinstatement premiums totaled 15.9 million versus 16.5 million in the corresponding quarter last year. This quarter's CATs primarily emanated from U.S. spring’s tornado and thunderstorm events and some Australian weather activity. The 2015 second quarter core combined ratio reflected 9.2 points of prior year net favorable development, net of reinsurance and related acquisition expenses compared to 9.4 points of prior period favorable development on the same basis in the 2014 corresponding quarter. This result in a core accident quarter combined ratio excluding CATs with the second quarter of 2015 of 95.2% compared to the 93.8% accident quarter combined ratio in the second quarter of 2014. In the insurance segment 2015 accident quarter combined ratio excluding CATs was 97.6% compared to an accident quarter combined ratio of 95.9% a year-ago. This 170 basis points increase was driven by 120 bps in the loss ratio and 50 bps in the expense ratio with the loss ratio increase reflecting higher large loss attritional activity than in the second quarter of 2014 emanating primarily from aviation more and offshore energy claims. Taking this increase into account the insurance segment accident quarter and loss ratios were nearly identical this quarter versus the second quarter of 2014. The reinsurance segment 2015 accident quarter combined ration excluding CATs was 94% even compared to 92.1% in the corresponding quarter of 2014. As noted in prior quarters the reinsurance segments results reflect changes in the mix of premiums earned including a lower contribution from property CAT and other property businesses. One should also note that this quarter we did receive regulatory approval acquisition of Gulf Re and accordingly have consolidated Gulf Re results as the subset of the reinsurance segment where as previously it was accounted for under the equity method as a single line entry. Although its impact was immaterial this quarter. This reclassified business falls within the “property other, a property excluding, a property CAT line” in our financial supplement. The mortgage segment 2015 accident quarter combined ratio was 77.4% compared to 84.9% for the second quarter of 2014, this decrease is predominantly driven by continued low levels of reported delinquencies benefitting the loss ratio associated with the CMG business we acquired in 2014, along with better underlying credit risk on business return since the acquisition. The insurance segment accounted for roughly 24% of the total net favorable development this quarter excluding the associative impact on acquisition expenses and this was primarily driven by shorter-tailed lines from the 2011 to 2014 accident years. With some contributions from longer-tail lines spread primarily across older accident years. The reinsurance segment accounted for approximately 75% of the total net favorable development in the quarter with approximately 37% of that due to net favorable development on short-tailed lines concentrated in the more recent accident years and the balance due to net favorable development on longer-tailed line primarily from the 2003 through 2009 underwriting years. Similar to the past approximately two-thirds of our core 7.3 billion of total net reserves per losses, loss adjustment expense are IBNR and additional case reserves which continues to remain fairly consistent across both reinsurance and insurance segments. The core expense ratio for the second quarter of 2015 was 35.1% versus the prior year's comparative quarter expense ratio of 32.8% driven by an increase in the operating expense ratio of 210 bps along with an increase in the acquisition expense ratio of 20 bps. The increase in the operating expense ratio component reflects a 6.5% decrease in net earned premiums. A 5.7% increase in operating expenses which also continues to reflect the addition of our U.S. mortgage issuance operations which as we said in the past is operating at the higher expense ratio until that business reaches steady state. However as I will get into shortly it is best to look at the expense ratio in totality rather than by each component separately to see accounting for reinsurance ceding commission. The insurance segment expense ratio increased 50 basis points to 32.5% for the quarter compared to 32% even a year-ago. The net acquisition ratio decreased 10% whereas the operating expense ratio increased 60 basis points. This separation as mentioned earlier is artificial since reinsurance ceding commission reimburse ceding companies not just for frontend acquisition expenses but also for the overhead associated with running the primary business, plus in most cases an overwrite in addition to these reimbursements. It is been the convention to categories the entirety or reinsurance ceding commissions in the net acquisition line, whereas a portion of these commissions contemplate operating and unallocated loss adjustment expense reimbursement but are not classified there. So the increased ceding commission actually provide offset to the operating expense ratio which is why I said initially looking at things in totality, deal with those issues as opposed to swapping it for one place to another. The insurance segment net acquisition ratio reduction primarily reflects material improved pre ceding commissions on an earned basis associated with quarter share contract ceded. It's important to note though that on a written basis the frontend gross commission ratio worldwide actually increased 40 basis points, whereas the average cede commission ratio improved substantially by 260 basis points. Taking together this increased ceding commission benefit overcame the increase in the gross commission resulting a 60 basis points net commission improvement again on a written basis. Lastly, one has to reflect the premium tax component which is a part of the net acquisition expense but is not considered to be commission expense. That increased approximately 40 basis points quarter-over-quarter. That’s mostly a function of mix. This reflects traditional premium taxes, second injury funds, guarantee funds cost, et cetera. Which also though signal some shift from non-admitted paper to admitted forms as the market softens. These overall net acquisition improvements however will continue to be felt as the ceded or written premiums are earned over the next few quarters. The reinsurance segment expense ratio increased from 30.9% in the second quarter of 2014 to 35.5% this quarter primarily due to the lower level of net earned premium, a higher level of ceding commission associated with bound contract and a slight increase in operating expenses. The net acquisition ratio increased to 160 basis points due to market forces, whereas the 300 basis points increased in the operating expense ratio is almost exclusively driven by the 18.4% reduction in the net premiums earned. The ratio of net premiums to gross premiums for our core operations in the quarter was 71.3% versus 73.2% a year ago. Insurance segment had a 68.3% ratio which was very comparable to the 67.9% a year earlier whereas the reinsurance segment had a net-to-gross ratio of 73.9% this quarter compared to 83.1% a year ago primarily reflecting increased property and property CAT retrocessions and increased sessions to Watford Re as they reinsure. Shifting now towards the market, our U.S. insurance operation saw an 80% basis points effective rate decreased this quarter, net of reinsurance. As commented on the last couple of quarters the pricing environment is quite different for short-tailed versus longer-tailed lines. Our short-tailed [Audio gap] first party lines of business had an effective 6.5% rate decreased for the quarter compared to a 1% effective rate increase for the longer-tailed third party lines both on a net-of-reinsurance basis. Rate increased for our longer-tailed lines in the aggregate have now dropped below our view of weighted-loss cost trends. Looking more deeply, some lines incurred such as a 10.5% decreased property and a 5% decreased in high capacity D&O line while others enjoyed healthy increases such as plus 6.5% in our lower capacity D&O line 5.5% in the loss sensitive construction and 3% in our program business. Also as I've mentioned on prior calls our lower capacity D&O business lines have now achieved 16 consecutive quarters of rate increases. Now turning to our continuing market cycle management, the insurance group worldwide reduced networking premiums in the volatile line of E&S Casualty, E&S Property, Global Property and Professional Liability in excess of 20% quarter-over-quarter. By contract, lower volatility lines have contract binding, travel and surety expanded north of 50% partially offset by a decline in program business due to underwriting actions. Professional Liability is down due to our continue reduction of the European exposures with a subset of SME professional business changed its common ex-date or expiration date from June into July. One anomaly to be aware of is in U.S. alternative market business as Dinos alluded to which on the surface appears to have had a 25% reduction in net written premium, but in reality back in the second quarter of 2014, when the previously discussed renewal rights agreement was completed [indiscernible] wanted to attain Arch's A+ paper as soon as possible and we are bound with Arch time policy terms that are now naturally renewing throughout the balance of the year. The reinsurance group only had 8.9% of its net earned premium represented by property CAT this quarter. And property CAT net written premiums were reduced by another 15% quarter-over-quarter. Property other than property CAT were excluding property CAT had a net written premium increase of just shy of 4% this quarter, however this was driven by our property facultative unit. Additionally, the reinsurance group reduced net volume in [indiscernible] share of trade credit and [indiscernible] by at least is 20% is response to market conditions. The mortgage segment posted the 75.3% combined ratio for the calendar quarter, the expense ratio as expected and as denoted earlier continues to be high as the operating ratio related to our U.S. primary operation will remain elevated until that proper scale is achieved. The net written premiums of 61.7 million a quarter was driven by 30.6 million from our U.S. primary operation as Dino’s mentioned and 31.1 million of net written premiums from our reinsurance mortgage operations. The segment also had 3.7 million of other underwriting income in the quarter versus approximately 1.2 million in the second quarter of 2014 due to risk sharing transactions which treated as derivatives and mark-to-market each quarter. You may recall that type of income is last quarter sequentially was around little more than 7.5 million which incorporated some catch-up premiums that aren’t reflected in this quarter. At June 30, 2015 our risk-in-force of 10.7 billion includes 6.1 billion from our U.S. mortgage insurance operation, 3.9 billion through worldwide reinsurance operation and 684 million through a risk sharing transactions. Our primary U.S. mortgage insurance operation is down 2.7 billion of new insurance written down in the quarter which was approximately evenly split between bank and credit union clients and which specifically represents the aggregate of original principal balances of all loans receiving new coverage during in the quarter. The weighted average FICO score with the U.S. primary portfolio remains strong at 735 and a weighted average loan to value ratio held steady at 93.2%. Those states risk-in-force represents more than 10% of the portfolio and our U.S. primary mortgage insurance company is operating at an estimated 9.7:1 risk to capital ratio as of June 30th 2015. The other segment which is still as a bell [ph] is equivocally Watford Re, reported 103.8% combined ratio for the quarter on a 120.2 million of net written premiums and 107.2 million of net earned premiums. As a reminder, these premiums reflect 100% of the business assumed rather than simply Arch's approximate 11% common share interest. As for business sourcing approximately 40% of the 128 million in gross written premiums this quarter was written directly on marker paper with the remainder ceded by Arch affiliates. It should be noted however that this sourcing mix can vary materially quarter-to-quarter. The total return on our portfolio was reported negative 4 basis points on U.S. dollar basis in the quarter. Primarily reflecting declines in our investment grade fixed income portfolio driven by raising yields and widening spread. Partially offset by positive returned in our alternative investment, equity and non-investment grade sectors. Total return also benefited from the weakening U.S. dollar on most of our foreign denominated investments. Excluding foreign exchange total return was a negative 38 bps in the quarter. Our embedded pre-tax booked yield before expenses was 2.07% as of the end of the quarter, compared to 2.18% at December 31, 2014. While the duration of the portfolio shortened to 3.05 years. The current duration continues to reflect our conservative position on interest rate in the current yield environment, however movements in duration are not necessarily indicative of longer term strategy or the insurance reinsured portfolio composition due to this duration statistic reported on a single day balance sheet deal. Reported net investment income in the quarter was $0.53 per share or 67.2 million versus an identical $0.53 per share in this 2014 second quarter or 72.5 million. As always, we're evaluating investment performance on a total return basis and that such invest in asset sectors which may not generate net investment income. Cash flow from operation for the quarter on a core basis including the other segment was approximately 232 million compared to 254 million in the second quarter 2014. This was caused primarily by reduced premium inflows net-of-commissions and net-of-reinsurance sessions. Interest expense for the quarter was 4 million even, which is a significant reduction from the last two quarters and from the corresponding second quarter of 2014. This reduction is due to a favorable adjustment involving a certain loss portfolio transfer entered into effective January 2013. This deposit accounting transaction had a downward revaluation in the quarter of the underlying ultimate loss, which resulted in an 8.4 million reduction in interest expense. As you may recall, there was a similar adjustment for this in the third quarter of 2014. However the run rate interest expense which includes approximately 12 million from Arch's senior notes and a variable amount of Arch's revolving credit borrowing for some other items is expected to be under 30 million for quarter was a foreseeable future. However revaluations of the underlying ultimate loss attributable to this loss portfolio transfer well occurred periodically and could potentially produce significant further adjustments. Our effective tax on our pre-tax operating income available to Arch shareholders for this quarter was an expense of 3.9% compared to an expense of 3.6% in the second quarter of last year. There was no tax catch up this quarter as the tax rates on pre-tax operating income were identical for both quarters of 2015. As always fluctuation in the effective tax rate can result from variability and a relative mix of income or loss projected by jurisdictions. Our total capital was 7.03 billion at the end of the quarter, which is virtually flat with total capital at prior year end but down 2.1% relative to total capital as of March 31, 2015. During this quarter we've repurchased 3.2 million shares as Dino has mentioned at an aggregate cost of approximately 199 million. These repurchases represented a multiple of 1.32x of the quarter's [ph] average book value and had the effective reducing quarter ending book value per share by $0.39. Additionally, approximately 525 million remains under our existing buyback authorization as of the end of the quarter. The effective foreign exchange on book value was a loss of approximately $0.22 per share as the negative impact of restating insurance and reinsurance liabilities outstripped the gain in non-U.S. denominated investments. Our debt-to-capital ratio remains low at 12.7% and debt plus hybrids represents only 17.3% of our total capital which continues to give us significant financial flexibility. And we also continue to estimate having capital in excess of our targeted position. Book value per share was $47.49 at the end of the quarter down 6% [ph] versus the prior quarter and up 8.6% of relative to one year ago. This change in book value per share this quarter primarily reflects unrealized losses and foreign exchange impacts from fixed income securities which exceeded the company's continued strong underlying results. Although there was a lot of activity this quarter affecting book value, we shouldn’t lose sight of the fact that the $0.31 per share drop in book value can be totally explained by the $0.39 per share impact of our share buyback this quarter. With that and these introductory comments, we are now pleased to take your questions. 
Operator: [Operator Instructions] Our first question will come from the line of Michael Nannizzi from Goldman Sachs. Please proceed.
Michael Nannizzi : One question I had on the Watford premiums, maybe you alluded to this in your comments. The premiums there were higher than the ceded premiums out of the reinsurance business. Did you -- did business come from somewhere else or was there some accounting there just to be aware of?
Mark Lyons: We did say that 40% of that was natively on your papers, so wouldn't have been ceded from any Arch affiliate. And there was a slightly higher contribution from the insurance group this quarter than the reinsurance group. And I think that answers your question. 
Michael Nannizzi : And then in terms of the expenses, you talked about the G&A ratio coming up just from denominator effect of premiums being lower. Is there a level where you want that to be or you are comfortable letting the business, pulling back and taking appropriate underwriting actions and holding on to your infrastructure just for the potential for conditions to change and being able to leverage that infrastructure again down the road?
Mark Lyons: Well Dinos and I both have an opinion on that I'll go first on it. It's a balance beam, if there is thing that you need to be mindful of and be efficient and you make there right tough decisions and there is other areas you have to recognize you might be going into bone and muscle and as Dinos said our business is to make decisions. You don't want to lose that decision making ability. So there is some level of carrying intellectual property we’re willing to have irrespective of what it does for the expense ratio. 
Dinos Iordanou: And no company went bankrupt or had significant problems because of expense ratio. Most of the companies they have difficulty with results it’s due to launch ratio. So in echoing what Mark said, anything that is dear to us and dear to is our underwriting capability we have as a corporation, we’ll protect that. Of course we’ll be prudent managers and try to manage expense with that parameter. So at the end of the day if it comes to what we call muscle, which is underwriting capability and knowledge is that it might not be fully usable at this point in time, we’ll retain that because we make decisions for the long-term, not for short-term. And when things we can eliminate and they don't have a long-term or short-term effect to what we do we’ll be prudent managers too and do so, so we can get a more reasonable expense ratio. So that's our philosophy and that’s what we’re going to practice as a management team. 
Michael Nannizzi : As far as reinsurance concerns is then your view there still at this point and changes that are taking place in market are cyclical, so you'll make that sort of bone muscle decision according to that as sort of a baseline?
Dinos Iordanou: Absolutely. Because at the end of the day there is wonderful things you can do in a good market in reinsurance, but you need to have the capability. And I think we've proven that our reinsurance team is one of the best in the industry over the last 12 years, 13 years, all you have to do is look at their performance.
Michael Nannizzi : And if I could just one quick on one the MI. Is it possible to breakdown what the underlyings were or what the loss ratio was even on a stated basis between the MI reinsurance and the flow business the U.S. MI business or they relatively similar?
Mark Lyons: We can do that. And let me dig Michael.
Dinos Iordanou: He is going to give you specifics, but I can tell you the reinsurance business was slightly better than our own MI business for the reason most of our reinsurance business that we wrote is in the very best years in the business. This is 2011, 2012 and 2013 commitment. So we want to get more specific markets. 
Mark Lyons: I'll do more directional than magnitude, but the U.S. operation continues to improve per our comments with the good improvement in delinquencies. The reinsurance was lower still, and lot of that is due to a calendar quarter effect of recognizing favorable results on reinsurance treaties issued a couple of years ago. You don't have gigantic earned premium numbers coming through a calendar so you make a change on a prior treaty on an inception to date basis and it can move the numbers. 
Michael Nannizzi : Any impact from the PMI quota share reinsurance program in 2Q results or is that embedded in the reinsurance discussion you just gave?
Dinos Iordanou: There was no real impact from that. 
Operator: Our next question will come from the line of Sarah DeWitt from JP Morgan. Please proceed. 
Sarah DeWitt: On the mortgage insurance business you showed some nice growth in the quarter in terms of the U.S. risk-in-force and now you have all the key bank approvals, do you expect a positive reflection point in risk-in-force in the second half of the year? Or could you just talk about how we should think about the trajectory on the growth?
Dinos Iordanou: Well it will be a steady improvement. Not only you have to get -- to sign up the banks, but eventually you got to make sure that from an IT point of view on the pipes, they are open, was starting to receive that. So I wouldn’t say you are going to see an abrupt change in that trajectory but as you know with the mortgage business as the quarter adds, you know -- and we're pretty happy with the progress that our sales force is doing and also the business that we're receiving. We had received from 270 banks applications to write the business. We still working, we are not on optimum pace yet. I'll be happy when I'm receiving from all 700 or so and I don’t how long that will take because these projects they get into the IT department and sometimes they take six weeks, sometimes they take six months, so I can't predict that.
Sarah DeWitt: Okay. Great. And just some on high level in U.S. mortgage insurance. How are you winning? What is your view as your competitive advantage there?
Dinos Iordanou: With one of the highest rated MI paper. So from a credit point of view we should be -- and we have a terrific reputation on service with everybody that we have done business so far, we are getting very, very good comments about our responsiveness and our service capability. So the combination of those two I think it fairs well for us for the long-term.
Mark Lyons: And Sarah [ph] I would also add we have Arch’s mortgage guarantee, which I tended kind of phrases like E&S carrier for the mortgage space. In that we'll do jumbo loans and other things that are nonconforming.
Dinos Iordanou: That’s an additional service we give to all these banks for loans that they might repaying on their books and they won't go to the GSCs. We have that capability. We did very -- let me reemphasize, very highly rated paper.
Sarah DeWitt: Okay, great. And I'd like to give one more and, on all the consolidation we’ve seen in the industry. Could you just talk about what the implications are of these for Arch from our competitive standpoint? And what innings do you think we’re in the consolidation risk?
Dinos Iordanou: The answer on your [indiscernible] question, I have no clue. I don’t see you know how, they come out of the blue and you know there is lot of dating and lot of marriages and all that. But I don’t know. From on a assess point of view, let me give you our view, our view is that, by consolidating on the primary side you have less buyers, or more concentrated buyers for reinsurance. So I think that will put some pressure probably through the pressure on the reinsurance purchasing because the bigger the buyer, the more they buy, the more the leverage they have and also they can use even alternative structures as we have seen with some. On the insurance side, I view it as opportunities for the simple reason that history tells us that never in a consolidation or insurance operations one plus one equals two plus, it’s usually one and a half to one and three quarters, and there things are fall off the table, it could be people who want to make change in their careers, it could be over lining of lines and depending on coverage's and the clients says I don’t want to put all my eggs in a bigger basket now. So we're ready and willing and we have instructed our underwriting units to be a participant in that activity when it occurs. And some of that will occur.
Operator: Our next question will come from the line of Charles Sebaski from BMO Capital Markets. Please proceed.
Charles Sebaski : I wanted to just talk about the ROE profile on a consolidated basis for you guys and how that plays into -- if more capital needs to be returned. I guess Dinos you talked about for some quarters now that the current business return profiles been in the 10% to 12% range and we have appeared like this and I realized it's only basis points below that double digit level, but at the low end of that range in a period that’s relatively light on CATs and relatively strong and favorable development. How should we think about how you guys managed to the consolidated ROE profile? And how much capital you need to hold and whether there is capital in MI that’s kind of affecting that? That would help.
Dinos Iordanou: Well let me take you back a little bit, because I think based on your question I think, you might be confusing underwriting ROV versus calendar reporting. We don't pay any attention to calendar reporting because that's kind of accounting and underwrite -- we allow accountants but they don't pay lot of attention to it. The ROE that we calculate is on underwriting basis, meaning, how much capital I need to support this business and what is the return when I ride a new piece of business that's the way we've based those numbers. So, prior year reserve releases or additions will not affect that, et cetera. They 10 to 12, we calculate based on our pricing model that comes from pricing actuaries, the mix of business we have and just to give you a little flavor is that we are very happy with our insurance business especially on the small to medium size accounts, they are producing good ROEs. We are not so happy but you can illuminate all of some of our larger accounts or ROEs. On the reinsurance sector, the ROEs have been very good for many years, but they coming down as the pressure continues, including a big component of good ROE was the CAT business, with that now is not producing what we fully expected for the high volatility line in ROEs and then we are very, very happy with the ROEs and the mortgage insurance. So, we put that all in a hamper, our actuaries go through that and that's how we estimate the underwriting ROE. I'm not telling you that every single thing that we do has a double-digit ROE component. If that was a case, we would have better than 10 to 12. We got businesses that they running may be 5, 6 or 7. And the question is should we get out of it or not and that's not an easy question. But usually we'll look at what the prospects are over a longer period of time and some time you’ve got to stay in those accounts and in those classes for a while at a lesser return on order for you to be a player when things to get better. So, that's the way we think about it and so underwriting ROE calculations not calendar year ROE. 
Charles Sebaski : Okay. No, I appreciate -- I just was thinking and I realize you guys look at it that way. I guess I was thinking of it in the view of if the underwriting ROE profile is 10 to 12 over a three or four year basis, it ends up mirroring up with the calendar year, no? If you are always writing 10 to 12, over time, the calendar year and the underwriting year should mirror each other, I guess. But I do appreciate the color.
Dinos Iordanou: We view as a steady 10 to 12 for all times, so that I can tell you the underwriting ROEs in the O2, O3, O4, O5 years. They were in the 20s plus and that helped us to have mid-teens ROEs for some years when actually the underwriting ROE was in the low teen. So, we look at it both ways but I can tell you from underwriting decision making and viewing the healthiness of our business, we religiously looking at underwriting ROE. We allocate capital to treaties, we allocate capital to a primary business by sector and then we have an expectation of return out of that based on our pricing and then we calculate the ROE on that basis. 
Charles Sebaski : And I guess just one additional -- and into the business, you mentioned that a couple of the programs were terminated this quarter. I'm just wondering what programs and how many programs are left and what was going on that's kind of said? Was it an ROE, was it just people? What happened, because that has been one of the growth drivers for the insurance business and a couple of quarters where it's kind of slowed down a little bit? Thanks. 
Dinos Iordanou: With anything that we do, everything goes to an underwriting review once a year. I don't care this programs or D&O division or E&O division, et cetera. At that point in time, there is an actuarial indication as to, what rates we'll charging, what is the profitability of that book of business and then there is what we will call the rate indication. Then there is a discussion with our partners. We are approached with our program business is a -- we wanted to be a profitable. But also we want our MGUs to be profitable. You don't have a partnership, if one makes money and the other one doesn't and vice-versa. We want all of our MGAs, MGUs to be profitable and we want ourselves to be profitable. And then there is a discussion, this is the market, this is what we believe, we should be charging and sometimes there is disagreements. If the disagreement is large enough and we don't believe we can achieve that partnership going forward that both of us will make money then we'll make the hard decisions and then we decide to part companies and unfortunately it did happened for two of our programs that our rate indications and what we wanted to file and price that business in the marketplace was not in agreement with our partners and they chose to go elsewhere.
Mark Lyons: Just a little extra color. Those two programs annualized for about 45 million of gross written premium. We keep high nets on that, so apart from a net written premium number, firstly. And secondly, and it is pretty much even in terms of -- they’re both 20 in each. One thing to keep in mind though is that this quarter one of those programs is very heavy in the second quarter. So it was 250% [ph] of the total program. So the loss of that program is going to be more felt in this quarter than the any other quarter for the balance in the year from that program. 
Charles Sebaski: What kind of products were these programs? 
Mark Lyons: Fast food was one, prefer not to really get into. But the underlying products themselves are really package policies. 
Operator: Our next question will come from the line of Jay Gelb from Barclays. Please proceed. 
Jay Gelb: On the M&A front, do you know -- you are very clear about focusing on adding teams of people and renewal rights transactions. And then seemingly third -- way third down the list is acquisitions of businesses. Since -- going back to even the recap of Arch in 2001, I don't think the Company has ever issued shares for acquisitions. Is there any circumstances where you could see that occurring in the future, given the massive phase of M&A in the industry?
Dinos Iordanou: Yes. We care a lot about our shares, it's our shareholders value. But if the transaction is large enough and our cash capability even though there is not significant leverage on the balance sheet. So we do have borrowing ability to a certain degree depends on how big the transaction is, we’ll consider issuing shares but that’s the last consideration not the first. We try with all of our decisions not to dilute our common shareholders. We don't like a lot of dilution. 
Mark Lyons: And as a follow-up to that the way -- targeting back to Dinos's comments, I think about this way, that the recruitment of any goodwill or any excess premium you pay relative to what we do in share buybacks. So if we’re looking for three paybacks and share buybacks where we know our operations, we know it's going on versus something that Dinos mentioned with a lot more uncertainty, the three year payback is in upper bound for recruitment of tangible book value hit towards and acquisition. So we’re very mindful of that. 
Jay Gelb: Okay. That's in line with what I would have thought. Mark, with regard to that buyback comment, you are in an enviable position of having a high multiple. The stock today I think is right around 1.5 times book and I think that's starting to bump up against your tipping point on whether Arch does buybacks as opposed to special dividend. Can you give us your perspective on that?
Mark Lyons: That’s exactly Dinos's comment about us being prudent in how we do it. One side, I’ll be honest with you, it’s more of the stretch to do that unless you could find that profitable bock trades out there. 
Dinos Iordanou: But based on recent transactions has achieve stock. 
Operator: Our next question will come from the line of Josh Shanker from Deutsche Bank. Please proceed. 
Josh Shanker: So two questions. First of all, Mike Nannizzi asked a question about mortgage reinsurance versus mortgage primary. And you said in the margin, the reinsurance was more profitable because of the good accident years. If I think about reinsurance in general, companies have been bumping up [indiscernible] commissions. And when I talk to reinsurers, they say, our book, we use a lot of local players, so we get better deals. Clearly, the large companies are going to ARBU out. When it seems that mortgage insurance is so profitable these days, how is mortgage reinsurance so profitable? Why aren't the large players charging to cede that risk?
Dinos Iordanou: For the simple reason that when these transactions are taken, then we get, in the mortgage phase you make a transaction in a particular year and you have a stream of revenue that comes over the six years, seven years. At the time that these transactions took place we were providing very valuable capacity to people that they needed capacity. And for that reason I think we had equally negotiating leverage as they did. They needed our capital as much as we needed the business, so that’s a good combination and for that reason we got terms that are not disadvantageous to them, but they are not disadvantageous to us either.
Josh Shanker: Okay, that makes sense. Number two, Mark went through in detail on the expense ratio for the insurance business. Mortgage insurance has grown dramatically over the past 12 months, but expense ratio really hasn't come down. When should we think that's going to occur and why isn't that proportional with the growth rate of the new insurance written?
Dinos Iordanou: The growth is starting to show, but don’t forget also we had an acceleration of expenses because we were building these marketing teams that is out there. We added in the last I don’t five quarters some 60 people, purely in the sales and marketing area. I think now we are on a steady state. So when it comes to that is not going be a significant addition in personnel, in a mortgage business, but as the volume starts going up you're going to start seeing the reduction in the expense ratio.
Josh Shanker: And one last MI question. How should I think about growth and capital? Do you need dividend money down into Arch Mortgage US in order to fund for your growth?
Dinos Iordanou: No, we gave you that number Josh, I think now we're operating at around 10, 9.7 I think is the exact number.
Josh Shanker: And you can get to 15 if you want.
Dinos Iordanou: As I'm getting older I don’t like to be exact because I forget things but -- and we got a lot of room to go to 15:1. So I don’t see us requiring to downstream capital into those operations for a couple of more years until -- I think I use it size 3 shoe to a size 9 foot, you know we still got the opposite, foot is size 3 and the shoes is size 9. We got a long way to grow to fill it.
Mark Lyons: But if you’re are asking more mechanically there is money in the U.S. holdings company that is there when anyone needed that’s the mechanism through which you'll get it.
Josh Shanker: Okay. Well thank you for all the answers. And good lack in the back half.
Operator: Our next question will come from the line of Ryan Tunis from Credit Suisse. Please proceed.
Ryan Tunis : I guess my first question is probably just for Mark, it's a quick one. Just on the E&S MI, you were talking about the jumbo loans. Is any of that showing up in the insurance in the mortgage NIW yet?
Mark Lyons: It's very, very tiny. It's really part of the value proposition that helps us. But as of yet it does not have material lines.
Ryan Tunis : And I guess maybe looking out over the next couple years, do you have a view on how much that type of stuff could make up of the total US MI business? 
Mark Lyons: No, it's a real crapshoot of what's going happen in macro economically.
Dinos Iordanou: And how these banks that going -- is really hard, the fact that we have that capability though. It opens towards and it allows for a better conversation as to what can we do for these banks beyond that odd are you going be cheaper than somebody else.
Ryan Tunis : Okay. And then I guess for Dinos, just on expenses, I guess, and primary and reinsurance. Just trying to think about a level -- is there may be a level of growth that you think you need in the medium term to support your current expense growth profile? It doesn't seem --.
Dinos Iordanou: We never really run the company in any segment with the exception of MI because we think it's a very-very good time to grow on a growth prospect. Now, having said that, you’ve got to match revenue with expense as long as you don’t cut muscle and I will expect one or two points higher expense ratio than normal, as long as I'm not losing underwriting capability because that underwriting capability can produce what it will cost you to maintain for a year, two or three in one quarter. Then we remind you guys that in the 2002 year our reinsurance operations produced on an underlying basis $790 million worth of premium and we had 22 people, right? And you it can come and I can tell you the profit coming out of that was significant. So at the end of the day it's the balance and you got to make those more judgments, but I can tell you if I got good experience underwriters they don’t have to worry about their jobs as long as with us. We’ll find things finds for them to do and if they don’t, we'll have to ask them to play golf until the good market comes.
Ryan Tunis : Got it. Thanks guys.
Operator: Our next question will come from the line of Meyer Shields from KBW. Please proceed.
Meyer Shields: Mark, you mentioned that you can't necessarily infer anything strategic from the shortening of the portfolio duration. So can I put that as more a direct question? It also could reflect something. Is there anything that we should read from the second-quarter change? 
Mark Lyons: No, let me expand on it, a bit. It is a point in time estimate as I've mentioned, but we continue to have the same exact process, where we look at the liability stream and with duration match it and however the assets underlying shareholders equity are shorter. So, there is no fundamental change to the overall philosophy, the overall approach of matching losses of duration, which I think is most important type. So, there's going to be tactical moves that happened from quarter to quarter. So, I wouldn't look for some big theme.
Meyer Shields: Okay, that's helpful. And then just a quick numbers question. When we look at the other expenses -- and I mean this on a consolidated basis -- it came in at $17.4 million, up almost 17% year over year. Was there anything unusual there or is that a new good run rate? 
Mark Lyons: I would say, you have a slight increase in overall stock related compensation expense. For old dogs like me that are retirements eligible, there is different accounting treatment of a quicker recognition of those kinds of things. And it's a series of bunch of tiny things. So, it's not like an asterix for you if that’s your main driver.
Operator: Our next question will come from Brian Meredith from UBS. Please proceed.
Brian Meredith: A couple questions here for you. First, Mark, when you talked about rate on the portfolio, the minus 0.8%, you said that's net of reinsurance. What does it look like on a gross basis before reinsurance? And I'm wondering the advantages you're getting and how that has looked over the last year or two so we can get a sense.
Mark Lyons: Yes, it's a little worst. But it's converting -- now it was really the benefit of property CAT really and some other debt that really grows the differential. So, but I can’t get into exact numbers, it's a little bit worst on a gross basis, but that's exactly why you protect yourself with an effective ratio. 
Brian Meredith: Got you. And then the second question, looking at Watford Re, I'm just curious. Obviously, a lot of growth there on a year-over-year basis, it's relatively new. But are we getting to a point in the marketplace where even Watford is going to potentially have to pull back a little bit, given the rate competition out there? 
Dinos Iordanou: Well, it will depend. If the same underwriting process that we have for everything else we do, the only difference between what Watford will do versus, what Arch will do is we believe that they've ability as they take a little more risk on the investment side to produce a higher return on the investments gets factored in, but they can be -- they’re turning down business tool. So, without having something in front of me, an account to go through is very hard to predict and that's why we never predict volumes because the market can be very fickle, it can churn on a dime either way, you can get much worst quickly and you can get much better quickly depending on what happens Our projection is that -- probably getting worse before it will get better and for that reason, we're very, very careful in our underwriting processes. So, we don't have these kind of feeling that we get too optimistic on the basis that things will change quickly and then we can make it up in the future. We tried to write accounts that in our view will produce an adequate return and that's why you saw a volume gone down a bit.
Brian Meredith: Right. Is there any business that you perhaps would have kept on Arch's balance sheet last year that now all of a sudden is going to Watford's balance sheet because of what's going on with rates? Are we seeing that?
Dinos Iordanou: Yes, there is some of that, yes, absolutely, that's why -- and that was the purpose of us, creating Watford instead of throwing that business totally ours, at least -- we can go to applies that we get participation. We have on investment in it, they keeps us aligned in that and also we can benefit from the -- on sharing some of the course because if you discard the business you have no revenue at all, where if you riding it, you're getting reimburse for the cost of riding it and then potential that you have also the profit, sharing in the back end. So, yes, there is some of that business that otherwise would have been lost by us, but it has gone to Watford, yes.
Mark Lyons: Brian, Watford has its own management team and they have the ability on yea and nay on contracts but let's move forward in year, it's possible Watford forget Arch and Watford. So, Watford itself may decide to not renew something that they've found in the prior year because of ongoing rates separation or yields nothing realize -- something in that nature. So, it's not just an Arch chances, it's completely on Watford sense in their evaluation. 
Operator: Our next question will come from the line of Jay Cohen from Bank of America. Please proceed. 
Jay Cohen: Most of my questions were answered. Just one question on the mortgage segment. The accident year loss ratio jumps around quite a bit quarter-to-quarter. It's a relatively new business, I understand that. At some point, should we expect that number to settle down into a more narrow range going forward? 
Mark Lyons: The answer is accident year in mortgage business doesn't make much sense. It's after all the function of the delinquencies and then claims emanating from the delinquencies, until there is claim we can’t put a reserve of body, you can't anticipate performing loans becoming non-performing or having claims M&A from it. So we railed against the accounting proceeds statutory accounting in that business. So started jumping around.
Dinos Iordanou: I'll focus most on the delinquencies. It's the better measure than anything else. 
Operator: Our next question will come from the line of Ian Gutterman from Balyasny. Please proceed. 
Ian Gutterman : So I actually was going to ask something similar to Jay, so just to follow that up. Mark, can you just walk through a little bit -- you mentioned it was mostly the reinsurance loss issue that came in lower and it's not like there was some contracts that were reviewed. I guess can you sort of walk through that process? Is that sort of an annual review or was it just you got new information in the quarter and you reflected that? 
Mark Lyons: Ian it's no different than any sector of our business. There was reserve reviews by the business unit actuaries that occur every quarter. And it just happened that those particular treaties had enough information and forward review that it was going to develop more favorably and it was recognized. 
Dinos Iordanou: It's their reporting from the clients. When they are showing significant improvement you can’t ignore it and they have shown significant improvement.
Mark Lyons: But just like the PC reinsurance side, it's completely analogous. 
Ian Gutterman : Well, that's what I was wondering. Was it reports from the client -- it was a little bit different market. 
Dinos Iordanou: Report from the clients showing significant improvement. 
Ian Gutterman : Got it. So it wasn't that you guys went in and looked at the contracts on your own and decided to lower the roll rate or something like that. It was that incoming information was significantly better and that you had to adjust to that. 
Dinos Iordanou: Yes, pleasant surprise for both them and us. 
Ian Gutterman : And do you get that information on them quarterly or is that once a year thing or?
Dinos Iordanou: Quarterly 
Ian Gutterman : Got it, okay. And then just on M&A, one of the things that gets speculated upon is the ability for you or some others on the island to help sponsor an inversion of someone who wants to get offshore. A, just is that a meaningful rationale to do a deal that is -- meets your criteria on other metrics, but maybe not as strongly as another deal that was better strategically and so forth? And did it have a singled [ph] to it? And then I have a follow-up on that.
Dinos Iordanou: Like I said price and financial is the fourth item, so if the first three meet criteria, we would get into the forth and by the way our view is both in us purchasing something or somebody purchasing us because, unless your my wife who says the house is not for sale, you are going to have the right price, the house is for sale, I’ll sell my house if somebody gives me the right price. So no emotion here. Our view is we’re employed by the shareholders to do the best job for our shareholders and there is nothing more to think about other than that. 
Ian Gutterman : Got it. And then specifically just to follow-up on the inversion specifically -- I don't know how closely you guys have followed this. But I guess my understanding is that when Treasury made those changes last year that if a company like Arch were to buy a company in the United States and invert them that depending on how it was structured, there's chance Arch could lose its tax status. Is that your understanding? That essentially inversions are kind of on hold until Treasury clarifies that language? 
Dinos Iordanou: I have no idea because we haven't studied that and I don't have any more insight to it, it's highly a legal question than a structure question, if you want more, I'll do some research on it and offline we’ll share our thoughts with you. But it hasn't come across my desk as a situation that I have to focus on. 
Mark Lyons: That topic we really just focused on that fact that we recapitalized back in 2001 and all legislation and all proposals really had a grandfather clause. So I know you are asking a forward view but our look and the evaluation of that has been the preservation of what we have. 
Ian Gutterman : Yes, I'm asking if you wanted to do a transaction, there's no issue. There was some language I read about -- I can follow-up with Don off-line. But if you were to buy something, it could affect the status possibly, so I didn't know if that was a hang up. That's all I was wondering, but I'll follow up with Don.
Dinos Iordanou: It does as part of the mix. Would you think I'll do something stupid for my shareholders? 
Ian Gutterman : Of course not, just seeing if I was reading the language right, but you are not familiar we can follow-up offline. 
Operator: And our final question will come from the line of Kai Pan from Morgan Stanley. 
Kai Pan: So first question on the underwriting margin going forward. It looks like the last price spot on long-tail casualty primary business, the pricing now below the cost trends. So are we expecting -- so on the reason basis, the underwriting margin will deteriorate. And anything in your power you can alleviate that or control that deterioration?
Mark Lyons: Yes, the answer is yes to both of them. We always talk about the mix of business, these guys are active cycle managers, whether it's within reinsurance or within insurance and when you see it going negative, you can either drop something your -- attempt to drop some of in front as volume but perhaps, as Dinos talked about earlier the reinsurance market is in a place where we can get attracted terms. And get some benefit on that on net basis. So the insurance group will be looking for that change in mix, frontend and change in reinsurance ameliorate some of that. So, and mix alone could change that guy. So, on the written basis, in a quarter or two from now even with no changes in reinsurance related programs by the cycle management that one could be a plus 2 or plus 2.5.
Kai Pan: Okay. On the reinsurance side, and it looks like this quarter, you said actually, the accident year loss ratio X CATs improved a little year over year. It's just because of lower level of losses or anything there?
Mark Lyons: Well that was the insurance comment. The insurance probably where you control for the large threshold was really the same loss ratio second quarter -- accident quarter, second quarter last year to second quarter this year. The reinsurance group it did go up a bit, but that’s the function of the mix to businesses because we’re not writing the property CAT. And we are near to the levels we used to in the past which has a much lower expected loss ratio.
Kai Pan: Okay, that's great. Then last question on the recently proposed IRS rules on Payflex [ph], I just wonder if any comments, what are you seeing about Watford's status on that?
Dinos Iordanou: Like I said, I mean we will -- you know Watford is an active insurer. It assumes the tremendous of amount of reinsurance. Their proposed rules are a working progress, so we don’t know the final rules but we will continue to monitor that processes and we have no -- we don’t believe there is problem for us complying with whatever rules they come up, because lets go back to the first thing, Watford is an active insurer that assumes a significant amount of reinsurance and it has significant of reserves.
Operator: I'll now like to turn the call back over to Dinos for closing remark.
Dinos Iordanou: Well thank you all for and we are looking forward to talking to you next quarter. And it's time for lunch.